Operator: Greetings, ladies and gentlemen, and welcome to the Incyte Corporation second quarter 2009 financial results conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Pamela Murphy, Vice President, Investor Relations, Communications for Incyte Corporation. Thank you. Miss Murphy, you may begin.
Pamela Murphy: Good morning and thank you for joining us. On the call are Paul Friedman, Incyte's President and Chief Executive Officer; Dave Hastings, Executive Vice President and Chief Financial Officer; and Rich Levy, Executive Vice President and Chief Drug Development and Medical Officer. Paul will provide a review of our lead programs and Dave will follow with a brief summary of our second quarter financial results. And we will then open up the call for Q&A. Before beginning, we'd like to remind you that some of the statements made during the call today, including statements regarding our plans and expectations for our drug discovery and development program, including the timing of clinical trials and the potential efficacy of our compound, as well as our expected financial results and financial guidance are forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties that may cause our actual results to differ materially, including those described in our Form 10-Q for the quarter ended March 30, and from time to time in our SEC documents. Paul?
Paul Friedman: Thanks, Pam. As you know, through an SPA we have now reached agreement with the FDA on our Phase 3 US registration trial called COMFORT-I. With our lead JAK1/JAK2 inhibitor, Incyte 18424, in patients with MF, myelofibrosis. COMFORT-I is expected to enroll 240 patients with other primary myelofibrosis post-polycythemia vera MF or post-essential thrombocythemia MF using enrollment from over 90 clinical sites in the United States, Canada, and Australia. The primary endpoint of COMFORT-I is the proportion of patients achieving a 35% or greater reduction in spleen volume as compared to patients receiving placebo from baseline to 24 weeks. Key secondary endpoints include measuring the duration of the 35% or greater reduction in splenic volume among patients initially randomized to active drug to 18424, as well as the proportion of patients who achieve a 50% or greater reduction in symptoms as measured by a modified version of Ruben Mesa’s myelofibrosis symptom assessment form. The double-blind portion of COMFORT-I is of 24 weeks duration and the data are scheduled to be analyzed when the last patient has completed 24 weeks of treatment with either 424 placebo, and also at least 50% of patients remaining in the study have completed 36 weeks of treatment. With respect to our other registration trial, the European Phase 3 trial called COMFORT-II, this trial is already enrolling and dosing patients in two of the participating countries with the remaining countries expected to come on board soon throughout August and into early September. The second study is open label. It's designed to evaluate the efficacy, safety, and tolerability of the drug as compared to best available therapy and this will be in 150 patients randomized one to one. The primary efficacy endpoint in COMFORT-II is also the proportion of patients achieving at least 35% reduction in spleen volume from baseline to week 48. We think it will take about six months to enroll each of these registration studies, assuming that the results from the trials are positive, it means we could file the NDA for 18424’s use in myelofibrosis in late ‘10 or early ’11, and similarly our regulatory filing in Europe is likely to occur in the second half of 2011. For 424’s use in the other two myeloproliferative diseases, polycythemia vera and essential thrombocythemia, we have about 70 patients enrolled in an ongoing Phase 2 trial. This includes a total of six sites in the US and Europe. We are quite encouraged by the results we've seen in this trial, both in terms of safety and efficacy, and we intend to present these data as well as an update on 424 in MF at ASH. We recently completed the three-month Phase 2b trial for topical 18424 in psoriasis, and we also look forward to sharing those results from this study sometime in September, so a month, month and a half from now. For our second JAK1/JAK2 inhibitor, Incyte 28050, we've started enrolling and dosing for rheumatoid arthritis patients who have had inadequate responses to their DMARD treatments. These patients are now in a six-month Phase 2 dose ranging trial. Results from this study are expected in the first half of 2010. For 11beta-HSD1 program and the lead molecule Incyte 13739, in June at the ADA scientific sessions we presented results from a multicenter double-blind placebo-controlled three-month Phase 2b trial involving 300 patients. And we demonstrated that 13739 significantly improved glycemic control insulin sensitivity and total cholesterol in patients with Type 2 diabetes. As we said from the beginning, this is not a program we want to advance on our own, and so we plan to use these results to support our objective to secure a partner for the HSD1 program. In addition to partnerships for Incyte 13739, there continues to be a great deal of interest in our JAK inhibitor program. And while it remains our intent to keep North American rights for 424 for oncology, we believe a strong rest of the world partner could help us rapidly optimize the myeloproliferative disease opportunity as well as improve our financial position. For the JAK inflammation program, we believe that we could form a broad global licensing deal where we could opt to do a deal in which certain indications we retained and/or shared in downstream economics. Now with that I will turn the call over to Dave who will walk you through our second quarter financial results.
Dave Hastings: Thanks, Paul. Good morning everybody. I'll start my brief overview this morning by discussing our cash position. We ended the second quarter with $147.5 million in cash and investments. So far our cash use this year has been $70.3 million. This performance is on plan and our cash use guidance for the year remains unchanged in a $122 million to $128 million. As a reminder, our use of cash was higher in the first half of the year than we are projecting for the second half due primarily to timing of our cash payments within our working capital line item, such as prepaid and accrued expenses. Additionally, our cash guidance excludes funds that could be received from potential partners this year. Our operating expenses, particularly research and development costs, are also in line with our expectations. R&D expense totaled $58.6 million so far this year, which is lower than last year's R&D expenses. This decrease reflects our intent to focus on only those programs we believe will create the highest near-term value. Another area I would like to touch on is interest and other income expense net, which this quarter reflects a non-cash charge of $1.3 million relating to FAS 115-2, the new guidance effective this quarter on mark to market accounting. Finally, in terms of our overall capital structure, as we stated in the past we are fully appreciative that our convertible note balance is a significant financial overhang. I believe there are number of strategies available to us that we could pursue to reduce or restructure the notes, and we intend to strive to maximize shareholder value with any action that we may take. So, with that I'll turn the call back over to Paul.
Paul Friedman: Okay. Operator we can now open the call for questions.
Operator: Thank you. (Operator instructions) Our first question is coming from Tom Russo with Robert W. Baird. Please state your question.
Tom Russo – Robert W. Baird: Good morning and congrats on all the progress in the last three months.
Paul Friedman: Thank you.
Tom Russo – Robert W. Baird: Just, first on the partnership front. It would seem as if you have everything in hand now that you 424 outside North America in oncology. Is that statement also true for diabetes? Can you give us a sense of what kind of discussions have gone like in the last month and a half I guess it’s been, and what kind of questions you are getting and whether you feel like you have what you need at this point to partner that asset?
Paul Friedman: I would say the answer is, yes to both of those questions. We are having I think fruitful discussions on both programs with multiple potential partners.
Tom Russo – Robert W. Baird: Okay. And just the timeline for filing 424 and MF, I just wanted to confirm what the enrollment time and the duration of the studies. Do you need COMFORT-II to be complete in order to file in the US?
Paul Friedman: No, we don't. We will do an analysis of the data as it stands at the time we plan to file COMFORT-I, and I think that's been agreed to.
Tom Russo – Robert W. Baird: Okay. And then last one and I'll jump out. The design of the Phase 2 trial for 050 and RA, just curious, your thoughts on including biologic failures, I guess in light of what we saw from Rigel last week, just maybe any thoughts you guys have their. And why that’s included in the design?
Paul Friedman: Why or if it’s included in our design?
Tom Russo – Robert W. Baird: I guess, if first, it looked from clinicaltrials.gov like it was included but whatever you can share on that both in terms of design and your thoughts.
Paul Friedman: I mean, if you look at -- if you look at what happens to the lipids with Actemra, with a Pfizer drug, and from what we anticipate and see with our drug, you see the effect of blocking interleukin 6 signal. If you look at the Rigel comp results, you don't see that effect. We don't know how the Rigel drug works, frankly. But despite the fact that you can show in self resistant that it is fairly potent against certain enzymes, it could be key. It's also very highly protein bound and when you do cell assays with it you get very dramatic shifts in activity. In other words, you’ve got to go to much higher concentrations to see anything inside the cell. If you put all that together and you look at the results with Actemra, and you look at our early results with 424, and you look at the results that have been presented by Pfizer, people who are biologic failures do pretty well on these new agents if you interfere with signaling through some key pathways. And it is our belief at this point, I think it’s probably going to turn out to be true that the Rigel molecule does not impact certain key pathways as Actemra, Pfizer, JAK inhibitor, and our compound do.
Tom Russo – Robert W. Baird: Okay. Thanks very much Paul.
Operator: Our next question is coming from Cory Kasimov with JP Morgan. Please state your question.
Cory Kasimov – JP Morgan: Hi, good morning guys. And thank you for take the question. First question is also under diabetes program, I'm not even going too much of the partnership angle, but since we are six or so weeks post-ADA, I’d be interested to hear what kind of expert feedback you’ve gotten from KOLs in their response to the data because the last time we heard publicly from you guys was the day the data was actually presented.
Paul Friedman: Okay, I’ll let Rich answer that because he is closer to the KOLs.
Rich Levy: Yes. I mean I think that the response from the KOLs has been similar to the KOLs that we spoke with at the time of the meeting, which is that they were very happy to see a new mechanism that is affective that reduces hemoglobin A1c and that they concerned about the minor changes in the endocrine system which are fully expected based on -- you reduce the total amounts of cholesterol -- excuse me, of cortisol for a brief period of time and then your adrenal glands have to respond to increased ACTH. And so there are some people that say that would be a key worry if things got out of control, and they don't. So the endocrinology experts are quite comfortable with those results as well.
Cory Kasimov – JP Morgan: Okay. That’s good to hear. Now on the partnership front you're currently involved in presumably pretty complicated negotiations for a few different assets, significant assets. Now as a small company are you comfortable that you have the internal bandwidth to handle all these discussions simultaneously?
Paul Friedman: Absolutely. We have a terrific team and we also have some outside help to complement the internal efforts. So we are well on top of everything we're trying to do.
Cory Kasimov – JP Morgan: Okay. And then staying on the partnership topic for a second, with the six-month RA trial now ongoing, is there a time -- a point in time you come to where you basically -- you come to a point of no return, so to speak , and that you wait for the data before consummating the deal?
Dave Hastings: This is the implant program?
Cory Kasimov – JP Morgan: Yes.
Paul Friedman: Yes, I mean I think that's a possibility. We have some very interesting discussions going on now because I think the more discerning potential partners have seen the Actemra data, they've seen the Pfizer data, they've seen our early data with both 424 and now with 28050, and I think they can project that are interim data are going to look pretty good. But having said that it is possible, depending on what happens on other fronts, with respect to business development, what people put on the table, who the partner would be, who is most generous in their terms would influence whether or not we would be willing to sign a deal or wait. There are a lot of moving parts right now and so I respect the first question that you asked whether we were on top of it, and we are. But there are a lot of moving parts. And so until one or more of those come to fruition it's hard to definitively answer the question you just asked.
Cory Kasimov – JP Morgan: Okay. And then going back to Dave’s comments in terms of addressing the debt and the balance sheet. How reliant are the strategies that you guys are contemplating on getting one or more partnership deals done at some at some point this year. Or are those strategies that you -- are there strategies that you have with no deals in place?
Dave Hastings: Yes, I think that there are various strategies available to us. Certainly a key objective though is to complete a corporate collaboration this year.
Cory Kasimov – JP Morgan: Okay. And then the last question I had would be also for Dave in terms of the COMFORT program and the overall cost of this program. Perhaps maybe you could just give us a range of the estimated price per patient just so we have an idea of what this is going to cost the company.
Dave Hastings: Yes, somewhere between $50,000 and $75,000 per patient spread over the next two, two and a half years.
Cory Kasimov – JP Morgan: Okay. Great. Thank you very much for taking the questions.
Operator: Our next question is coming from Eric Schmidt with Cowen & Co. Please state your question.
Eric Schmidt – Cowen & Co.: Thanks. And my congratulations as well. Just to follow up on the last questioning -- last line of questioning, Dave, about the restructuring of the debt. It does seem like the financial markets have eased a little bit, certainly since your last conference call. When might we see something on the debt restructuring or reduction?
Dave Hastings: We're very encouraged as well by the overall tone of the capital markets. Importantly, we are encouraged by the fundamental progress of the company. But, Eric, I don't want to lay out specific timelines and strategies at this point. But again, we are encouraged by the trends, both fundamentally with the company and in the capital markets.
Eric Schmidt – Cowen & Co.: Okay. On the COMFORT-I enrollment timelines, if I back into a year-end 2010 filing it seems like you've given yourselves about six to nine months to enroll COMFORT-I. I guess is that consistent with your thinking and what's your level of confidence you can enroll those patients in that timeline? I know you've done a lot of work with the centers ahead of time.
Rich Levy: This is Rich Levy. I think we're going to enroll in approximately six months. That is based on detailed looks not just in general, but of actually identifying patients that are likely to come in at each center, and then we still discount that by quite a bit. So those are the sorts of things that you can predict reasonably well but not perfectly, so that's why we can't be exactly sure yet what our filing date will be. But the end of 2002, early 2011 is a very good estimate.
Eric Schmidt – Cowen & Co.: Okay, thanks. And then last question on the endpoint, now that you settled on the 35% reduction in spleen size, will you show us the Phase 2 data cut by that metric?
Rich Levy: Yes. At ASH.
Eric Schmidt – Cowen & Co.: Okay, thanks a lot.
Operator: Our next question is coming from Thomas Wei with Piper Jaffray. Please state your question.
Thomas Wei – Piper Jaffray: Thanks. Just wanting to follow up on the 050 program for rheumatoid arthritis. Did you say you're planning on doing an interim analysis? And if so what triggers that and when might that occur?
Paul Friedman: We haven’t said anything about that. But we are going to do one but not for public consumption, just to allow us to engage partners if we wish. And so I'm not going to get into details of that or when we are going to do it.
Thomas Wei – Piper Jaffray: Okay. And then you had mentioned multiple pathways that you think might be the reason why a drug like R788 did not work in biologic failures and why a drug like 050 might. And you had said the IL-6 signaling pathway; what are some of other mechanistic rationales for why your drug might work in TNF failures where Rigel's did not?
Paul Friedman: Well, I was just giving you an example of what we think is a very key pathway that doesn’t not appear to be modulated significantly enough, for example, to affect LDL as it is with Actemra, with the Pfizer drug, and with our drug, all three of which have demonstrated, albeit early for the two JAK inhibitors, but quite convincingly with Actemra that biologic failures respond pretty well if you impact the interleukin-6 pathway. And I'm not sure how the Rigel drug works. So it's difficult to speculate. All I can tell you is it does not appear to modulate that pathway anywhere near as significantly as the three drugs that show efficacy in anti-TNF failures. There are a myriad of other reasons you could speculate affected the Rigel results, and I'm sure that they have thought long and hard about those other possibilities. And so I don't really want to go there and try to be exhaustive. I'm just explaining to people why we think our agent will work in biologic failures because there is good precedent that that pathway we affect quite dramatically. And in fact we have early results that suggest we do work in that patient population. So I do think when you look at oral agents that have the opportunity to give efficacy same magnitude as the biologics that I think the drugs that look the strongest at this point would be the Pfizer drug and 28050.
Thomas Wei – Piper Jaffray: And this early data that you're referring to showing activity in biologic failures, can you just remind us what that is?
Paul Friedman: Well, we've had a few people in the studies that were failures and they did just as well as people who didn’t. But we don’t have a lot of that data. The Pfizer data, again when you look at theirs they don't call it out that way. But they have a significant number of people who have been treated who were bona fide biologic failures and their ACR responses and their CRP responses did not deviate from the overall results that were reported. And same with Actemra.
Thomas Wei – Piper Jaffray: Okay, thank you.
Operator: Our next question is coming from Jeff Elliott with UBS.
Jeff Elliott – UBS: Great, thanks. I just had a question on COMFORT-II and the entry criteria and how it compares to the Phase 2 program. Are you are assuming you're going to see a very similar patient population, particularly, I guess I am interested in baseline spleen size?
Rich Levy: Yes, the patent populations are going to be quite similar in all of our studies. When we did the 251 study, at first it was no specific requirement for spleen size by palpation. Then when we saw that the patients with massive spleens were having such incredible reductions in spleen size we had an amendment added where we actually started doing MRIs on the patients. And those patients are needed to have 10 centimeter or greater spleens. So you actually had early patients who were all over the map and then the later ones all had to have at least ten. For the European study, COMFORT-II, the minimum spleen size at entry is 5 centimeters by palpation. And let me just point out that when we've seen patients with 5 to 10 centimeter spleens, if you actually look at the volume of those spleens compared to published norms of volumes, they're often 10 to sometimes 20 to 30 times above the upper limit of normal. So it's not as if those are small spleens, they're still massive, they're just not as massive as the 10 to 20.
Jeff Elliott – UBS: Perfect. Thanks.
Operator: Our next question is coming from Eun Yang with Jefferies & Co. Please state your question.
Eun Yang -- Jefferies & Co.: Thank you. One of the secondary endpoints in the COMFORT-I trial is the durability of the response from the primary endpoint. Is there any specific time point at which that durability is going to be measured?
Paul Friedman: It's going to be measured from the time points in which someone first has a 35% reduction and then you see how long it goes out. So there will be a variety of time points when we've analyzed the data as to how far patients will be out. And it's kind of a Kaplan-Meier analysis of the data at that point in time and it will give us a line with a flow tube to be able to predict the long-term durability.
Eun Yang -- Jefferies & Co.: Okay. And then a question on COMFORT-II trial. This trial is compared to the best available therapy, could [ph] you actually comment on what the best available therapy that is going to be used. And then whether the study is designed as non-inferiority or superiority?
Rich Levy: So first, it is a superiority study. Second, the best available therapy -- there are no established therapies for this disease, there are essentially no approved drugs for this disease. If you look at what drugs are most commonly used to treat it, hydroxyurea would be the number one drug, and then after that it’s all within low single digit percentages after that. So we expect that most of the patients will be on hydroxyurea and then a scattering of other drugs. Now these patients pretty much are already on their best available therapy, you're just not stopping something. There's not going to be a whole lot things for them to change to. So therefore we don't have a great expectation that they're going to switch to a therapy and all of a sudden do fantastically well, not to mention that there's no drug that actually does fantastically well. So it’s really not that different from what we're doing here in terms of the expected response rate in the control arms which we expect to be very low in both studies.
Eun Yang -- Jefferies & Co.: Great. And my last question is between COMFORT-I and COMFORT-II. COMFORT-I is the measurement – the spleen size reduction was measured at 24 weeks whereas the COMFORT-II is 48 weeks. So, why is there a difference in terms of the measurement time period?
Rich Levy: So the reason is you're dealing with two different health authorities and the FDA wanted 24 weeks and the EMEA wanted 48 weeks. But let me also clarify that, it not just that we get MRIs just at that time point. And we get them essentially every 12 weeks in both studies, the time that we will be able to file in Europe is when you have the 48-week data. And you can file earlier in the US. So as Paul has said in response to a prior question as to whether or not we needed COMFORT-II to complete before we file in the US and, again, the answer is no. There will be MRI data from COMFORT-II at 24 weeks on most of the patients in the study at the time that we file in the US.
Eun Yang -- Jefferies & Co.: All right. Thanks very much.
Operator: Our next question is coming from Lucy Lu with Citigroup. Please state your question.
Lucy Lu – Citigroup: Great. Thank you. Wanted just to get some comments on whether there are any functional endpoints at all in COMFORT-I or COMFORT-II. If so what are they? And I have a follow up. Thank you.
Paul Friedman: So obviously we're measuring symptoms with the MFSAF and there are also some other questions that we're asking. But in terms of actual measurement like six-minute walk test, we're not doing those in either COMFORT-I or COMFORT-II. We will, however, be presenting -- we intend to present at ASH some more detailed results on some of the functional endpoints such as the six-minute walk test.
Lucy Lu – Citigroup: And the second question is, just the criteria for continuing -- for patients to continue in COMFORT-I study if after 24 weeks someone who's on the active drug doesn't have the spleen reduction of 35%, do they continue -- do they have the option to continue in the study or do they automatically ask to leave the study? I just wanted to understand how that works.
Rich Levy: That’s not the way that it works. Patients are allowed to stay on drug as long as in the view of the investigator they're continuing to receive benefit. And even though the primary endpoint is a 35% reduction in spleen size, we are defining that as a threshold for having some benefits.
Lucy Lu – Citigroup: All right. Thank you.
Operator: (Operator instructions) Our next question is coming from Liisa Bayko with JMP Asset Management. Please state your question.
Liisa Bayko -- JMP Asset Management: Hi, congratulations on achieving SPA.
Paul Friedman: Thank you.
Liisa Bayko -- JMP Asset Management: I just wanted to turn to the psoriasis program. We've got the data coming up later in the summer. Perhaps can you just give us a sense of what to expect and put into context what you would consider to be promising data from that program?
Paul Friedman: Do want to answer that one?
Rich Levy: Sure. I'll be happy to. I mean, I'm not going to go into quantitative numbers per se, but let me refresh a little bit of what we're doing and what some of the historical data is. So first of all, it's a 200-patient study, we're looking at vehicle and then three different once-a-day strengths of 424 applied topically. And the endpoints are based on both percentage of patients who have a 50% reduction in total lesion score as well as the percentage of patients who achieved clear or almost clear. Recently approved topicals have used a primary endpoint in the registration studies that present clear or almost clear. And drugs -- recently approved drugs have gotten approved with about 20% clear or almost clear. So we would like to be at least being as good as recently approved drugs and hopefully better.
Liisa Bayko -- JMP Asset Management: That’s helpful. Thank you so much.
Operator: We do have a follow-up coming from Tom Russo with Robert W. Baird. Please state your question.
Tom Russo – Robert W. Baird: Thanks for the follow up. Just on the design of COMFORT-I, can you give any additional color on the placebo crossover, what would dictate that? And kind of how the design and the powering account for potential for patients to crossover?
Rich Levy: Okay. So there are two different ways that you can crossover. You can crossover when everybody gets to crossover, which is essentially following the primary analysis so that we then become unblinded to the patient. But before that individual patients can crossover early if two things happen. One is that they have documented significant increase in their spleen size by MRI accompanied by significant symptoms that are associated with splenomegaly. So that you can't simply say, I feel worse, I want to crossover and have that potentially ruin the study. There has to be objective evidence to go along with it. Plus just simply having a spleen grow that is not associated with symptoms is also not acceptable. And in terms of how that affects powering, it really doesn't because anybody who has to crossover early is considered a non-responder in the primary analysis. Obviously if their spleen has to grow they're not going to be 35% down. But they can stop early if they've met those criteria. We don't expect the number -- we expect the number of patient eligible for early crossover to be relatively small.
Tom Russo – Robert W. Baird: Okay. Thanks, Rich.
Rich Levy: You are welcome.
Operator: Gentlemen, we have no further questions at this time. I would like to turn the floor back over to management for any closing comments.
Paul Friedman: This is Paul. Thanks for your attention this morning. Just to summarize and put these two studies into perspective. We've presented now multiple times this ongoing Phase 2 data initially looking simply at palpation of spleen and then showing you I think at least twice in data that we've presented and I think we'll present again, the very nice correlation you get with volumetric measurement. The key is at tolerated doses and 15 BID we get maybe 50% of patients who get a durable, very durable greater than 35% decrease in spleen size. Control groups, that simply is not going to happen -- an occasional patient, but it's going to be a rare event. And so unless we get some off the wall safety issue you have to remember we've had people now on this drug for over two years. Some of them on a higher dose than the doses that we are using in COMFORT-I and COMFORT-II. Doses that have demonstrated this greater than 35% durable reduction in spleen size, that these studies should have an extremely high probability of being positive. And so we are very gratified that we're getting them both started, and finally reaching agreement with the FDA on the SPA. And our business now is to do some business and to take away the debt overhang. And you can be certain that we are peddling quite rapidly in both those arenas. And so stay tuned and we look forward to keeping you apprised of our progress over the next few months. And thanks again for listening to us this morning. With that we'll end the call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and we thank you all for your participation.